Operator: Good day, and welcome to Intevac's Third Quarter 2022 Financial Results Conference Call. [Operator Instructions]. Please note that this conference call is being recorded today, November 2, 2022. At this time, I'd like to turn the call over to Claire McAdams, Investor Relations for Intevac.
Claire McAdams: Thank you, Michelle, and good afternoon, everyone. Thank you for joining us today to discuss Intevac's financial results for the third quarter of 2022, which ended on October 1st. Shortly after the close of market today, we posted our Q3 earnings release and an updated investor presentation to our IR website. Joining me on today's call are Nigel Hunton, President and Chief Executive Officer; and Jim Moniz, Chief Financial Officer. Nigel will begin with his review of the third quarter and our outlook looking forward. Then Jim will review our financial results before turning the call over to Q&A. I'd like to remind everyone that today's conference call contains certain forward-looking statements, including, but not limited to, statements regarding financial results for the company's most recently completed fiscal quarter, which remains subject to adjustment in connection with the preparation of our Form 10-Q as well as comments regarding future events and projections about the future financial performance of Intevac. These forward-looking statements are based upon our current expectations and actual results could differ materially as a result of various risks and uncertainties relating to these comments and other risk factors discussed in documents filed by us with the Securities and Exchange Commission, including our annual report on Form 10-K and quarterly reports on Form 10-Q. The contents of this November 2 call include time-sensitive forward-looking statements that represent our projections as of today. We undertake no obligation to update the forward-looking statements made during this conference call. I will now turn the call over to Nigel.
Nigel Hunton: Thanks, Claire, and good afternoon. I would like to welcome everyone and thank you for joining us for our third quarter 2022 results conference call and hearing more about the new Intevac. Now approaching the end of my first full year at Intevac, I feel we have made tremendous progress building the foundation for growth and increased stockholder value. Today, I will provide an update on our progress with securing a partner for the TRIO as well as discussing how we see our HDD business shaping up over the near and medium term given all the changes in the industry since our last call. First, however, I'll briefly recap our third quarter results. Revenues were $10.8 million, above the high end of our guidance, as our customers elected to accelerate their technology upgrade plans during this period of reduced hard drive production volumes. This more favorable mix revenues also drove upside in gross margin, which reduced our operating loss and resulted in a smaller net loss from continued operations of $0.13 per share. So once again, better than forecast. We had another very strong bookings quarter with new orders of $21 million. As a result, 2022 is shaping up to be a record-setting bookings year with new orders of over $110 million year-to-date, driving another sequential increase in backlog, which is also exceeded $110 million at quarter end. The new order activity in Q3 was primarily focused around strategic technology upgrade initiatives, which we believe will position our HDD customers for their next generation of mass capacity drives for the cloud. We also had a strong quarter of cash flow generation, primarily as a result of our advanced customer deposits received in support of the record level backlog, and we ended Q3 with total cash and investments of $125 million. As I'll discuss in more detail in the fourth quarter, we'll be investing a portion of our cash in long lead time inventory in order to meet the planned delivery schedule, both for the TRIO forecast and for HDD upgrades. And given these investments, our forecast for total cash at year end is now in the $105 million to $110 million range. As a reminder, the customer deposits received in Q3, which resulted in $125 million cash balance are typical of our customer engagement to fund necessary inventory purchases. And you should expect that with the sequential decline in cash during Q4, you'll also see a commensurate increase in inventory levels. In my customer and investor facing activities since our last call, I made another trip to Asia to meet with existing and potential new customers in both Singapore and Malaysia and to ensure our high-volume manufacturing center in Singapore is positioned to rapidly wrap tool and process module production in the coming months. We also reviewed our technology roadmaps with our customers in both Asia and the U.S.A. to ensure we are fully aligned with their needs. In addition, I've met with many new and prospective investors who are eager to understand our strategy and future prospects with the new TRIO platform, the changing HDD demand environment and our plans related to our very healthy cash position. We are very pleased to see all the new interest coming from the investment community. And today, I'll provide an update on our TRIO strategy, news about which I know you've been patiently awaiting all year. We are pleased to report today that we have executed a non-binding term sheet with Corning Incorporated. The objective of our partnership is the development and deployment of the TRIO platform, to apply coatings to glass and glass ceramic materials as Corning is a leading player in the use of these materials in consumer electronic applications. We are advancing through a definitive agreement with Corning and expect to have it signed by year end. Our confidence in the collaboration is such that we're starting to invest in long lead capital items to support the program, which in turn, will have a modest impact on our cash forecast for year-end 2022. Our objective has been to announce our partnership once definitive agreement was signed. However, we are disclosing the status of our relationship with Corning today because of the substantial size of the opportunities being pursued across multiple applications and because the funding of some of the inventory purchases required to meet targeted deployment timelines is impacting our year end cash guidance, which we've been very consistently communicating through 2022. Speaking of our cash balance, I will add here that the strength of our balance sheet has been a highly valued into [indiscernible], has been vitally important in establishing our ability to grow and scale that is commensurate with a partner with leading global market share. I look forward to updating you again once the definitive agreement is finalized, but clearly, 2022 has been a very exciting and productive period of time for both me and the company. As we are investing in the organization in order to be well positioned to execute on the growth ahead, I was very pleased to announce the recent appointments of John Dickinson as our VP of Operations; and Mark Popovich, as our VP of Business Development, and they are already making an impact given the announcement of our partnership with Corning today. Now I'll turn to the current demand environment in the hard disk industry, which has changed considerably since I joined Intevac earlier this year. In talking with our customers and other industry experts, the most recent revisions to forecasts and build plans are the result of a number of factors, which together have impacted both supply chain and demand levels for hard drives. In the short-term, this multitude of factors, which include inconsistent components availability, excessive inventory bills, higher cost overseas against a strengthening dollar, a rapid contraction in drive demand from both the client and cloud customers and an overall slowdown in discretionary spending are resulting in an HDD production forecast for the fourth calendar quarter of 2022 that has been nearly halved compared to the levels expected just 6 months ago. As a result, whereas prior industry expectations were for media capacity utilization to be completely exhausted by year end, instead our customers are currently running media production at less than 60% of capacity. This is expected to be a temporary cut to production levels with steadily increasing levels anticipated as we move through 2023. There's been no change in the long-term importance of the hard drive industry. In the cloud, the need for capacity is insatiable. Workloads continues to grow in complexity. And the quote from a recent keynote, hard drives are still the king of big data. Given the continued robust demand profile for mass capacity HDDs for the cloud over the next several years, our customers are continuing to execute on their multi-year plans for capital investments, both in capacity additions and technology upgrades. Our longer term revenue forecast for our HDD business is essentially unchanged since our last earnings call. What has been adjusted by our customers, however, is the balance of their demand between systems, what you call it, new capacity and technology upgrades. The steep reduction in production has afforded them a unique opportunity to take advantage of viable capacity and upgrade these systems in support of next-generation media. New tool installations, however, are being deemphasized, while upgrades are being pulled in. Part of the $21 million in new orders received during Q3 were for accelerated deployment of upgrades in the current quarter as well as early 2023 in support of the next generation of heat-assisted magnetic media. This prioritization of upgrades in Q4 has effectively replaced the anticipated 200 Lean tool shipment, previously planned for Q4 revenue and our revenue forecast for '22 of approximately $34.5 million is relatively consistent with our prior guidance. We also continue to expect that our HDD revenues in 2023 will show modest growth over 2022 in the low-double-digit percentages, as we said last quarter, to approximately $40 million. The recent order announcement for $12 million of HAMR upgrades supports our forecast for 2023 revenues. The 200 Lean system has been scheduled for the current quarter has been rescheduled for July 2023, which drives the incremental revenue growth next year. We expect revenues from HDD upgrades and field service will be similar next year compared to this year and the installations of new 200 Lean capacity will now begin in earnest beginning in 2024 and 2025. Our close collaboration with our customers on their future plans, along with solid backlog of $110 million and growing, provides us with continued confidence in our longer term hard drive revenue forecast and supports our expectation for at least $200 million of HDD revenues through 2025. Incremental to this unchanged forecast for growth in our HDD business is that we now see an extended investment cycle in both capacity and technology upgrades. This is beginning to give us visibility for at least $300 million of HDD revenues through 2026 with upside being driven by the installed base of over 150 systems that will need to be upgraded to 7 process modules to be HAMR capable. It's also worth emphasizing again this quarter that 100% of investments of our customers in both technology and capacity are currently being made on our 200 Lean platform. And we believe that the next technology transition will provide yet another opportunity to Intevac to gain an increased share of the world's hard drive media installed base. In summary, 2022 has been a transformative year for Intevac. We are very excited about the year ahead and our new partnership with Corning for our groundbreaking TRIO platform. Over the next quarter, we'll be finalizing our strategic plan and starting to develop a forecast for 2023 that reflects the expected HDD revenue profile along with the initial TRIO tool shipments. We look forward to providing you with a clearer picture of 2023 when we meet again on the Q4 earnings call. In the meantime, I will take this moment to emphasize just how committed we are as a company to increasing stockholder value and protecting the strength of the balance sheet. That completes my prepared remarks. And with that, I will now turn the call over to Jim.
James Moniz: Thank you, Nigel. Turning to the third quarter results. Revenues were $10.8 million, above our guidance of $9.5 million to $10 million due to upside in HDD upgrades. Q3 gross margin was 45.5%, above our guidance of 39% to 40% due to more favorable mix of upgrades. Q3 operating expenses were $8.1 million, above our guidance of $7.5 million due to higher R&D expenses and higher stock-based compensation expense. The Q3 net loss from continuing operations was $3.2 million or $0.13 per share and better than our guidance of $0.15 to $0.17 per share. Our backlog was $110.4 million at quarter end. This is the highest level since Q1 of 2010 and an increase of $10 million over the second quarter. The recent $12 million order received to date in Q4 indicates that we expect backlog to grow again at year end. We ended the quarter with cash and investments, including restricted cash, of $124.9 million, equivalent to $4.91 per share based on 25.4 million shares at quarter end. Cash flow generated by operations was $15.3 million during the quarter. We saw accounts receivable declined by $19 million in the quarter due to collections of customer down payments. We added $6 million in inventory to support the growing backlog. Q3 capital expenditures were $538,000 and depreciation and amortization were $329,000 for the quarter. Now moving to Q4 guidance. We are projecting revenues to be approximately $10 million, reflecting continued prioritization of HAMR upgrades in a lower level of field service returns. We expect fourth quarter gross margin to be around 32% to 34%. Q4 operating expenses are expected to be around $8 million. We expect interest income of about $400,000 and GAAP tax expense of around $500,000 in the quarter. Most of the tax expense will be non-cash. We are projecting a net loss in the range of $0.17 to $0.21 per share based on 25.5 million shares outstanding. Finally, as it relates to our cash forecast, as Nigel discussed, we are investing in long lead time inventory during Q4 to support both multiple TRIO system shipments as well as the acceleration of HDD process module upgrades in 2023. Total inventory investments are in the range of $5 million to $10 million. And we also expect that a portion of the pending customer deposits and Q3 ending receivables will be paid in January instead of December. For these reasons, we now expect to end fiscal '22 with a total balance of cash, equivalents and investments of between $105 million and $110 million compared to the $115 million guided last quarter. As we looked into 2023, while our strategic plan and forecast for next year is still in process, keep in mind that we do expect the year to be second half weighted, given the current delivery scheduled for 200 Lean systems starting in July. We currently expect our revenues over the next 3 quarters to consist solely of HDD upgrades, spares and field service and that upgrades in Q1 will be down sequentially from Q4. This completes the formal part of our presentation. Operator, we are ready for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Mark Miller with Benchmark.
Mark Miller: Just wanted to make sure I understand the Lean shipments now. You're talking about maybe the first tools going out in July next year, but really, the bulk of Leans will be '24, '25. Is that correct?
Nigel Hunton: Yes. What has happened is, the shift and change of prioritization to focus on the HAMR upgrades and the new technology has been prioritized by our customers. And because of that, they've moved -- the systems have moved out and they've brought in the upgrades to drive this next generation of technology and to use this time in the market to actually accelerate this upgrade program.
Mark Miller: Your TRIO tool, you've attempted or Intevac has attempted previously to enter the market for glass coatings. I'm just wondering what is different with this tool? And I assume this tool will be used also to deposit oxides besides metals?
Nigel Hunton: Correct. To answer that in a couple of sections. I think I've said on several calls, it's absolutely critical when you develop technology. That you develop technology with a real partner and you look to solve real problems in the market. And the TRIO technology we've developed to solve a real challenge with scratching of antireflective glass on consumer devices and we've done, as I think I've mentioned on the prior couple of calls. The level of meetings has increased, the customer engagement has increased. And that's probably the real key -- one of the key reasons we've announced the non-binding term sheet today, because for the last -- since the summer, myself, the board, the entire team working on this have been blacked out from trading or buying in shares. And this is because of the relationship with Corning has progressed. It's now at a level where it's not reasonably to continue to keep this partnership of this magnitude confidential. And therefore, if you think about the partnership with Corning, if you think about how we're now partnering with the sort of leading glass supplier and we're actually delivering a coated solution, which is very different to anything that we've done in prior years. This is unique. It's taking the TRIO expertise. It's taking really our phenomenal expertise of years -- 30 years of coating. If we think about it, I think you know more than anyone, every bit of data that people store information on is on a disk that's been manufactured by Intevac. We've got billions of durable glass substrates in the market. And that expertise in processing and expertise in coating is clearly what's developed in this unique partnership and that's why we announced it today. This is a complete change for the company. It's very new. It's solving a real customer problem or a real consumer problem and it's partnering with a leading glass company. It's a phenomenal change for Intevac.
Mark Miller: So the TRIO will be focused on coatings to prevent scratching. What about antireflective coatings? Will that be an option for the TRIO?
Nigel Hunton: Yes, correct. That's a very good question. The TRIO is absolutely targeting antireflective coatings. And that's one of the things we found -- I think we mentioned on the last call. One of the benefits of some of the antireflective coatings we've put into the technology has enabled an improvement in power usage of a handheld. So there's some unique capabilities that were additional benefits from actually solving the requirements to provide a solution, to give a scratch-resistant antireflective coating. So I mean, that's -- the work that the technology team have done here to produce what is a world-leading process tool is phenomenal. So it's -- and we're very proud of what they've done.
Operator: There are no further questions at this time. I'd like to turn the call back over to Nigel Hunton for closing remarks.
Nigel Hunton: Thank you. I mean, as I just said, as I look at where we are today compared to 10 months ago when I joined, I feel we've made tremendous progress in creating a new Intevac. And I wish to thank all of our employees as well as their counterparts with our industry partners for their hard work and dedication as we've been moving forward to this defining moment in Intevac history, a milestone engagement for the new TRIO platform as well as the HDD's industry historic transition to HAMR. So we believe the Intevac is not just a sound investment, but an exciting growth and turnaround story. And we're eager to continue meeting with as many interested investors as possible. And if people are interested, our next investor event is in New York at the CEO Summit on December the 13th, followed by the Needham Growth Conference in January. So if you can please reach out to Claire directly, if you'd like to follow-up. And with that, I'd like to thank everyone for their contributions and conclude today's call. So thank you.
Operator: Thank you. This concludes today's teleconference. You may now disconnect.